Operator: Good morning. My name is Angela, and I will be your conference operator today. At this time I would like to welcome everyone to the O-I First Quarter 2014 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator Instructions). Thank you. I would now like to turn the call over to Mr. Dave Johnson, Vice President of Investor Relations. Please go ahead..
David Johnson : Thank you, Angela. Good morning, and welcome everyone to O-I's Earnings Conference Call. Our discussion today will be led by Al Stroucken, our Chairman and CEO; and Steve Bramlage, our Chief Financial Officer. Today we will discuss key business developments, review our financial results for the first quarter of 2014 and discuss trends affecting our business. Following our prepared remarks we'll host a Q&A session. Presentation materials for this earnings call are available on the company's website at o-i.com. Please review the Safe Harbor comments and disclosure of our use of non-GAAP financial measures included in those materials. Unless otherwise noted, the financial results we are presenting today relate to adjusted earnings, which exclude certain items that management considers not representative of ongoing operations. A reconciliation of GAAP to non-GAAP earnings can be found in our earnings press release and in the appendix to this presentation. Now I'd like to turn the call over to Al.
Al Stroucken: Thank you, Dave and good morning. We’re quite satisfied with our performance in the first quarter. Our adjusted earnings were $0.62, up 3% over prior year and in line with our expectations. We have good momentum in volume as evidenced by our third consecutive quarter of year-on-year growth. Beer showed particular strength albeit against an easy comparison. We are clearly benefiting from the shift in consumer preference towards wine as we experienced growth in our wine business in every region in the quarter. Europe delivered a strong financial performance which offset weather related challenges in North America, both of which I will address as we turn to Slide 3. Volumes in Europe increased 6% in the quarter, exceeding expectations. There was a strong recovery in beer aided by the unseasonably warm winter the region experienced, apparently the European center rented to the United States. We continue to see the benefit of our wine share recovery efforts from last year. In fact our wine sales are now approaching the level we maintained prior to our pricing activity in 2012 which as you will recall had resulted in a temporary share loss. Prices were down modestly in the quarter which was expected given competitive market dynamics and a benign inflation environment. Similar to the previous quarter our asset optimization program in Europe delivered $10 million in cost savings year-over-year. These savings along with higher sales and production volume boosted our segment operating profit by 300 basis points. In North America, sales volumes were up 2% primarily due to beer and non-alcoholic beverages. We clearly benefit from continued double digit growth in the craft beer segment and our more marketing savvy customers in North America are increasingly interested in using glass to differentiate their brands. Not only in craft and premium beer but also non-alcoholic beverages such as Starbucks Frappuccino's, iced coffees, as well as Pepsi Twist. North America’s positive sales and production performance was masked by the wide spread impact of extraordinarily severe weather conditions that complicated our supply chain. The rail system came to a grinding halt particularly in the Midwest compromising inbound logistics, impassable roads and intermittent energy shortages exacerbated the situation at many of our plants. To overcome the challenges, we took decisive action to meet customer needs. We had inbound raw materials, transported by truck and we produced and supplied product to customers from suboptimal plant locations. By the time the snow finally melted at the end of the quarter we had incurred substantially higher transportation costs and we were left with pockets of inventory in less than ideal locations, the situation we expect to rectify in coming months. Extreme weather conditions also caused exceptional volatility in natural gas prices during the quarter. On average, natural gas was nearly 50% higher than a year ago. And we expect to recover the higher energy costs over the course of the first half of this year. In all, the total cost of the winter disruptions was approximately $10 million in the first quarter and we expect further related costs in the second quarter although not at that level. Moving on to Slide 4. In South America, our volumes exceeded initial guidance due to increased shipments in Brazil across most categories. Volumes in the Andean countries were down compared to prior year as our customers continued to delay replacing their floats of returnable bottles. We anticipate that they will begin to ramp up float replacements in the second half of this year. We faced a number of known headwinds in the region in the quarter as well a higher level of plant furnace rebuilds than previous year and of course a double digit devaluation of the Brazilian real. All things considered, we turned in as solid performance in South America. Asia Pacific’s performance was not as strong. A large part of the volume decline in the Asia Pacific region was driven by the plant permanent shutdown of three manufacturing sites in China. We’ve been frustrated by ongoing weakness in Asia Pacific’s matured markets, particularly in beer. Profitability was also dampened by the devaluation of the Australian dollar and cost inflation particularly energy. For contractual agreements, we will begin to pass on higher cost to customers in the back half of the year. Now I'll turn the call over to Steve to review our financial performance.
Steve Bramlage: Thank you Al, good morning. Turning to Slide 5. Starting on to table on the left, first quarter 2014 segment sales were $1.6 billion, which is flat with prior year. Price during the quarter was 1% above prior year. Prices in North America were higher in part due to our contractual pass-through provisions plus our assumption during the quarter of freight handling for a top customer. Price gains were broad-based across South America and as Al already noted prices in Europe modestly contracted. Sales and tons increased 2% with bear, wine and food all recording year-on-year gains. As also mentioned, currency movements impacted sales in every region, Europe positively, South America and Asia Pacific negatively. North America was not immune either with the weaker Canadian dollar reducing sales in the region by approximately 1%. On balance however, foreign exchange adversely impacted overall segment sales by 2% in the quarter. Segment operating profit in the quarter was $218 million, compared with $226 million in the prior year. The $14 million impact from price carries directly over from the sales line. The drop through on higher sales volume added an incremental $8 million to operating profit. Within operating costs, cost inflation of $38 million was substantially higher than we expected given our annual guidance. Over half of the cost inflation in the quarter stands directly from North America which as Al mentioned suffered from a spike in natural gas prices. Operating costs were also burdened by higher logistics costs in North America. On the positive side, operating costs benefited from continued progress with our European asset optimization and structural cost reduction programs. Finally, the net impact of currency was a headwind of approximately $3 million. Let's move to adjusted earnings now on Slide 6. First, the modest decline in segment operating profit that I just discussed had a $0.04 impact on earnings per share. Within corporate, pension expense was lower, while investments in commercialization and long-term research and development projects were higher, all of this completely in line with our expectations. Corporate while essentially flat with prior year, was a bit higher than our annual guidance of $100 million would suggest, mainly driven by the timing of certain of the aforementioned items. Going forward, we expect corporate and other costs should begin to decline towards the expected $25 million run rate per quarter. Interest expense benefited from continued debt reduction as well as lower rates. Our tax rate in the quarter was lower than our full year guidance, principally due to the favorable resolution of certain audits which require us to recognize the impact within the quarter versus spreading it out over the full year ratably. Now let's turn to Slide 7 for our second quarter outlook. We should start by mentioning that we will have one less shipping day in the second quarter compared to prior year as a result of the timing of Easter. This is in contrast to the one extra shipping day from which we benefited during the first quarter. Turning to Europe, we expect sales volume to be up modestly over prior year, driven largely by beer. Wine volumes were expected to be essentially flat with prior year. Recall that in second quarter, we will begin to lap the wine share recovery actions started last year. Separately, it is becoming increasingly evident that Chinese demand for European luxury goods such as wine and spirits is contracting due to the government crackdown on gift giving. In light of long and apparently full supply chains, it may take some time for our customers to right size inventory levels, thereby temporarily dampening our sales. European operating profit will also benefit from asset optimization cost savings and expected modestly stronger euro. In North America, we expect volumes to be flat for the quarter, adjusting for the number of shipping days this is in line with the first quarter performance. Profitability in the region will be lower than prior year as we unwind the supply chain related issues caused by adverse weather during the first quarter. Turning to South America, while we are not yet expecting a return to growth in the Andean countries, we do expect improvement there in the second half of the year. Reserve volumes were expected to be up mid-single digits in the second quarter, driven by growth in beer. Taken together, we expect modest volume increases to drive higher profitability. Finally, let's turn to Asia Pacific where we anticipate lower year-on-year operating profit in the second quarter. Volume is expected to be down double-digits. China will be an increasing drag on the top line as the full impact of the recent retrenchment activity manifests itself in the second quarter and we've yet to see demand pick up in the mature markets. Turning to segment profit for that region, we expect the impact of our lower sales volume to be mostly offset by savings from our recently completed restructuring in Australia. However the region will still face significant headwinds. At current exchange rates, the Australian dollar is off approximately 5% compared with the second quarter of 2013 impacting translation of our financial performance and in addition, as we saw in the first quarter, significant inflation in Australia will not begin to be passed through to our customers via contractual agreements until the second half of the year. Corporate costs should trend toward $25 million in the second quarter. This is a decrease from prior year and is mainly driven by lower pension expense. Considering all of the puts and takes, we expect adjusted earnings per share for the quarter to be flat with prior year. Please note that our full-year guidance remains unchanged at $2.80 to $3.20 per share adjusted EPS and approximately $350 million of free cash flow. As we've done in the past, we plan to provide an update, if we need to, to our full-year guidance on the second quarter earnings call when we will obviously have more visibility into trends for remainder of the year. Before turning the call back over to Al, let me point out that there has been no change for our capital allocation plans for the year either, which calls for 90% of our approximately $350 million of free cash flow to go toward debt repayment and the remaining 10% towards anti-dilutive share repurchases. Al?
Al Stroucken: Thanks, Steve. Finishing up with Slide 8, we remain committed to the management priorities we have outlined for you before. While we already highlighted the financial benefits of Europe's asset optimization plan, I would like to provide a little more color on this critical program. The European team has many engineering and technical projects underway aimed at increasing asset efficiency and flexibility and producing in closer proximity to our customers. We expect to see the continued benefits of these changes on financial performance in the months and years ahead. Earlier this month, we celebrated a $30 million – sorry, €30 million investment in our Aloa [ph] facility in Scotland. The upgrades to that plant allow us to significantly expedite the design and development needs of our customers especially in the Scottish whiskey business. In Aloa [ph], we are commercializing black glass for a number of spirits customers. Black glass is also growing increasingly popular with beer customers in the U.S. Miller Coors recently launched Miller Fortune in black glass. There continues to be great enthusiasm around the capabilities we have created in our new innovation center. In the first quarter alone, we produced samples of more than 20 newly design concepts for customers for wine, beer and nonalcoholic beverages, highlighting the strong collaboration between our global product innovation team and the research and development team. Before we turn to the Q&A, let me summarize my thoughts on our performance. We posted solid results as our teams in Europe and South America compensated for weather issues in North America. While the second quarter is expected to be largely in line with last year we anticipate improved financial performance in the second half of the year. This will be driven by cost takeouts, improved manufacturing performance and currency becoming a modest tailwind. Our relentless focus on controlling the controllables will allow us to make the most of the external environment and to deliver on our commitment to grow both earnings and cash flow. Thank you and now I will ask Angela to open up the lines for your questions.
Operator: (Operator Instructions) And our first question comes from the line of George Staphos with Bank of America Merrill Lynch.
George Staphos - Bank of America Merrill Lynch: My two questions, first in Asia Pacific, is it fair to say that you only get partial recovery of the inflation lag in the third quarter since awarding is that you're beginning to recover in the second half? And is any of the lag related to competition or is it purely contractually driven and then I had my second question is on North America which I will continue in a minute.
Al Stroucken: Well, I think that we expect to get close to full recovery of the inflation because as you know the cost structure is not going to change in the second half. And so we will get the full impact of the price adjustment and that will cover what we saw in the first quarter and certainly still expect in the second quarter. This is unrelated to competitive pressure, I think what we did see with regard to competition was that last year when the Australian dollar in the beginning of the year, at least last year was still very strong. We saw some import products coming into Australia which created some price pressure and had an impact on some of contract negotiations at that point in time. But I think that’s basically resolved itself now given the development in Australia dollar [ph].
George Staphos - Bank of America Merrill Lynch: So you’re saying you will be fully recovered by the third quarter on recovering inflation in Asia-Pacific?
Al Stroucken: I said by the end of the year.
Steve Bramlage: Yes, George, we won't -- we will fully recover in the third and the fourth quarter, we will recover the inflation in those two quarters and we will largely recover on a full year basis, the full-year inflation it may not be totally offset but it will be pretty close.
George Staphos - Bank of America Merrill Lynch: And then just for modelling purposes, how much of a lingering supply chain affect, do you expect in North America in the second quarter?
Steve Bramlage: As we’ve mentioned there was about a $10 million penalty in the first quarter. We would expect it to be not quite that high in the second, there’s probably a couple million dollars of incremental costs that are now sitting in inventory that will turn during the course of the quarter and several million dollars from additional logistics. So I would say at a minimum it will be half what we saw in the first and so somewhere between 5 million to 10 million depending on how quickly the logistics issues will result.
Operator: And your next question is from the line of Debbie Jones with Deutsche Bank.
Debbie Jones - Deutsche Bank: I was just wondering, given the trend you are seeing in the [indiscernible] and China, are you concerned about the margin expansion targets that you put out for 2013, and [indiscernible] you guys to get to those targets?
Steve Bramlage: Debbie, could you ask that just one more time, please, you’ve cut out a little bit on –
Debbie Jones - Deutsche Bank: Given the trends that you are seeing in the Andean region in China, do you have concerns about having your margin expansion targets for these regions for 2015? And what needs to happen for you to get to these targets?
Steve Bramlage: Maybe I will start with that, and let me do the Chinese one first and then I will come back to the Andean one. No, we don't have concerns for Asia-Pacific per se from a margin target standpoint in 2015. Our targets were set out with an expectation that was we’d be retrenching over this period of time some of our less profitable businesses in China and that business will lead to higher-margin in the region. So I think we're very very much on track with what we expect from a margin standpoint of for 2015 across Asia Pacific. And certainly in the Andean regions which obviously impact of South America margin target. We expect improved performance in the Andean countries, and we need improved performance in the Andean countries to have that low 20% segment margins in South America but sitting here today we have no reason to expect that we will not be able to achieve low 20% margins in the 2015 time period in South America.
Debbie Jones - Deutsche Bank: Just also in South America, you talked about the trend you saw in Brazil this quarter, how much do you think that was related to the World Cup and are you optimistic that you can continue to kind of see better growth in that region?
Al Stroucken: It was a very strong pick up in demand in Brazil, some of that also is due to comparables from last year but I would say the overall impact of the World Cup of course leads to some additional demand to fill some of the channels to the market. I would say most benefit from this is really in the area of one way packaging, so cans, and also one way glass, we will get some additional volume increases because it's unlikely that people will increase their float of returnable containers for a blip in demand. As far as the second half of the year is concerned which typically of course is the stronger demand period for the region, we at this point in time expect that to compare favorably with last year, perhaps it does not have the same burst of increase compared to the first quarter that we saw in the first quarter of this year. But I think overall demand profile is still relatively strong.
Operator: And your next question is from the line of Al Kabili with Macquarie.
Albert Kabili - Macquarie : First question is just Europe, if you can highlight or just give us some commentary on how the contractual renewals went in Southern Europe if you maintain your share gain or loss or any and if with the price cost kind of being a bit unfavorable in the quarter how do you sort of -- is that going to continue that unfavorable price cost situation in Europe throughout the balance of the year?
Al Stroucken: Overall we’re well along with our contractual renewals and as you may recall from past comments, once you hit May it’s very difficult for that volume to shift anymore significantly because a lot of these contracts do have a provision for volume in them. So I think it would be very difficult to see any loss of volume in the second half of the year, and of course we’re helped a little bit by overall demand from the wine industry picking up again compared to last year somewhat. With regard to pricing, I believe really what you're seeing there is a dual effect. Number one, when we raised our prices in 2012 and lost volume it weren’t clearly the more price aware customers that were making those changes and they typically are at a lower price range anyway. So if we have recovered some of that volume it really is more of a mix effect than an overall pricing effect. Secondly, what you tend to see as well if the inflation environment is benign it’s sometimes given the competitive profile that we see in Europe, with so many competitors it's very difficult sometimes for the smaller suppliers to really make an argument for a higher price and that is having an effect as well on the overall pricing. But I would say what we've seen so far is pretty mild.
Albert Kabili - Macquarie : And then just a clarification on North America given the spike in natural gas prices that you highlighted in the first quarter and given that a lot – by far the vast majority of the businesses is sort of pass-through on that gas, a little bit of a lag, should we expect a benefit in the coming quarters from that pass-through and is not factored in your 2Q guidance or how should we be thinking about that nat gas recovery spike up in North America in the first quarter?
Al Stroucken: We will expect to see the contractual pass-through to really flow through in the first half of this year and that's included in the outlook that we've given you. There were some one off spikes which were force majeure spikes that were called by utilities in the first quarter that we most probably would not be able to pass through entirely. But that would then not recur in the second quarter.
Steve Bramlage: Yes, Al, I would add that, about 60% of our contracts in North America are monthly pass-through, so now more than half was in theory recovered in the first quarter and then the other 40% is something between 31 days and 90 days. So we will pick up a couple million dollars of that in the second quarter from residual cost pass-through in the first quarter assuming no change obviously from current prices.
Operator: And your next question is from the line of Tyler Langdon [ph] with JP Morgan.
Unidentified Analyst: Just had a quick question on Brazil and I think volumes were up in the high single digits. Could you just talk about what was driving that, whether it was market growth, what category, if there is sort of share gains, just give a little color on that?
Al Stroucken: Well, we look at the of the published statistics and I think the relatively heart of the press overall bear production was up 10% or 11% in Brazil, so that really was a driver and then also as I said earlier the comparison with the first quarter of last year where apparently some material was being provided by other suppliers that we picked up this year may have had an impact. We clearly were well above the overall growth in the beer volume in Brazil in particular and more comparable with the can volume increases that we saw. Canned volume increase, I believe around 20% or so.
Unidentified Analyst: And then the inflation that you experienced in Q1 and expect to see in Q2, can you kind of quantify dollar amounts roughly what the impact of that was?
Steve Bramlage: Tyler, could you ask the first part of that one more time, you’re specifically referring to inflation for the company or for a particular region?
Unidentified Analyst: I was just wondering if you could quantify the dollar impact?
Steve Bramlage: Yeah, we were squeezed by about 5 million approximately $5 million in Asia Pacific unrecovered inflation and I would expect number to be very similar in the second quarter.
Operator: And your next question is from the line of Ghansham Panjabi with Robert W. Baird.
Ghansham Panjabi - Robert W. Baird: The weather issues in North America that you commented on, presumably we had an impact in your competitors also. Al, what do you think we are in terms of inventory levels relative to this point of year and years past and what are you hearing from customers as it relates to the strong selling season and – inventories in the supply chain.
Al Stroucken: Well overall our customers are really trying to bring innovation to the front because especially in the mega beer brands they all have been suffering from lackluster volumes and I'm sure all the big ones are trying to change that around. So we want to make sure that we’re prepared for that so we clearly have the inventories to be responsive to our customer needs and I don't think that that's any different with regard to other suppliers in the marketplace. A lot of course will depend on how the summer is going to evolve and easily sway the volume by 1% and 2% and that of course has a tremendous impact on the overall supply chain. So we will have to wait a little bit on how this is going to evolve otherwise.
Ghansham Panjabi - Robert W. Baird: And then in terms of what you're tracking – in terms of your implied guidance for 2Q on EPS, basically first half on a year-over-year basis on EPS versus last year your guidance is still pretty wide for the full-year to a 20, Steve, what would it take to hit that – hit towards the end of that range?
Steve Bramlage: Ghansham, there's no doubt that the weather-related issues in North America have obviously put more pressure on us to execute in the second half, that will be disingenuous for us to say otherwise. But we certainly see a past still or we would have changed the range obviously. Also what needs to go right for us to get to the higher end of that range, I would remind folks that the third quarter comp is very favorable for us, as a starting point we have lots of problems especially in South America last year that we don't see repeating for a number of reasons. Currency will help us where it is today vis-à-vis some of those initial expectations, if we're successful in resolving the North American issues more quickly, or more effectively then we’re currently expecting that obviously will give us a little bit more upside than we are currently projecting. And certainly within Europe if that market continues to stay at its current level and does not go backwards as it has in the last couple of years we will get some additional Benefit there. So we see multiple paths to get to the higher end of the range which is why we’ve kept it where it is.
Operator: And your next question is from the line of Philip Ng with Jefferies.
Philip Ng – Jefferies : Margins were quite strong in Europe, is that trajectory sustainable going forward after adjusting for seasonality and were there any one offs during the quarter?
Al Stroucken: Well, I think if you look at the comparison to last year of course we were dealing with a fairly low volume quarter last year. So the difference is clearly very pronounced. I think as we go further into the year and we see some of the volume normalizing and be more in line with what we expect at this point in time, clearly that differential in the margin is not going to be maintained.
Philip Ng – Jefferies : I am just talking more about adjusting for seasonality, you would have peak quarters in Q2, Q3 so we should see normal step up from this point on?
Steve Bramlage: Yeah, there is no change in the seasonality in the second and third quarter for the northern hemisphere should remain from a sales volume standpoint the stronger quarters for us, but that won’t change.
Philip Ng – Jefferies : In your prepared remarks you guys flagged increased competitive pressure which impacted pricing, was that mostly in Europe, Asia, can you give some color on that front?
Al Stroucken: I would say that was specifically referring to Europe and as I already explained in an earlier response there’s two aspects to it. Number one, our pricing effect that you see for us was a mix issue to a certain extent as well because we picked up some of the volume from customers that are more price conscious buyers and that we have lost in 2012 and early 2013 so that has an impact. But generally it's really – if there is benign inflation there is a very often a dirt off reasoning or argument on the part of suppliers into the market say they need a price increase and I believe that really is impacting a little bit of this point in time some price pressure, because you don't have the ability to just go in with a couple of percentage of price increases if there is no reason behind it with regard to inflation.
Operator: And your next question is from the line of Adam Josephson with KeyBanc.
Adam Josephson – KeyBanc: Steve, in Europe how much of the EBIT growth in the quarter came from the cost savings programs both programs and roughly how much growth you’re expecting from those programs for the duration year in Europe?
Steve Bramlage: We picked up about $10 million worth of benefit purely from the asset optimization program which is very consistent with our expectations, we expect that to be about 25 million of year-over-year benefit and we knew the first quarter would get a large chunk of it. So 10 is from asset optimization, there is probably another $3 million to $5 million of what I would call just general structural cost reduction across the business and then the remainder of that will be a little bit of currency helping us and then obviously the volume drop through.
Adam Josephson – KeyBanc: And in terms of the pickup in growth you're expecting in second half, I know you called out South America being a fairly easy comp in the third quarter as you expect Europe to be up to some extent. Where would you say the bulk of the growth you're expecting in terms of regions would be most concentrated again [indiscernible] South American in third quarter?
Al Stroucken: Well, I think if you look at two regions North America and Europe will most probably pretty much aligned and the remainder of the year, at least that’s our projection and given that Europe of course is twice as big as North America. As far as the bulk of the volume is concerned that would be clearly coming from the area where we have a larger share.
Operator: Your next question is from the line of Scott Gaffner with Barclays.
Scott Gaffner - Barclays Capital: Al, you mentioned that you thought your customers in South America would accelerate repurchases in the second half of year, maybe ramp up the purchase of their float, but I am just wondering if you’re concerned at all that your customers are shipping more towards one way packaging ahead of the World Cup, if you’re concerned at all that maybe they don't revert back to returnable glass after that event is over?
Al Stroucken: I would say aside from what we already discussed with regard to Brazil, clearly there may be a World Cup impact in the other parts of the region as well because people of course watch TV and watch the event as well. But I would say we have not seen a shift to one-way containers in those regions at all. I think a lot of that demand is still being filled with floats that are in the marketplace. I would expect though that – and I believe I mentioned a couple of quarters ago that we typically would see people delaying their purchasing decisions by perhaps two quarters but then it’s reaching the end of the line, that’s what gives us some confidence that we will see the reordering of float as we go forward later in the year.
Scott Gaffner - Barclays Capital: Specifically on China can you talk about the facility that you have left, are those profitable and competitive and should expect to expand in the region for the long-term?
Al Stroucken: Well, the facilities that we have left are profitable and they’re really focused on the upper tier of the marketplace in China, so they certainly have much better pricing points. And at the same time they are also in locations that really give them a very good opportunity to participate in shipments to overseas locations to help some of the demand spikes and buffer strategies that we’re applying. So that's really the focus of our strategy as we are going forward.
Operator: Your next question is from the line of Chris Manuel with Wells Fargo Securities.
Chris Manuel - Wells Fargo Securities : Couple of questions, first, if I could center in on North America for a second, and my second come back is more on the volume side, but earlier you indicated that you would attempt to recover different cost elements and some things that impacted you herein 1Q and like we are here in the 2Q in the back of the year in North America. My question is your recovery of that, is that largely driven by contractual component to it or do you need to go out and try to pull back in certain elements and the reason I am coming at this way is if we were look at recovery, your volumes have been pretty good, there were no issues with shipments, similarly to your customers, wanted the demand but are you able to – in other words, were you out-earn in the back half given what you recovery is the anticipation, just to get back to kind of normal spread into second half, how would you think about that?
Al Stroucken: I think the recovery is really related to energy and to the energy prices because that's provided for in the contracts. Whatever gyrations we have to go through to keep our customers supplied in the first quarter with regard to logistics is most probably not recoverable that fundamentally was a unilateral decision on our part to be a preferred supplier to our customers during very difficult times but certainly we expect that cost factor to diminish in the second quarter of the year because of the weather tuning significantly.
Chris Manuel - Wells Fargo Securities : And then the second question I had was with respect to volumes and clearly Europe seemed -- the supplies you a bit on the volume side given previous commentary that you weren’t seeing a lot of – weren’t anticipating much there, what changes as we work through the back half of the year, I recognize you’re not going to have a much growing volume but if we look around the globe North America fundamentals are still seemingly solid here why can’t we continue at 0.2 points of volume Europe, seemingly getting better why can't we continue, in Latin America you talked in the past about strikes and different things in certain, in the Andean region and places, that resolving itself along with normal kind of pick up – why can’t volumes seemingly still be a couple points positive over the balance of theyear, what are the puts and takes?
Al Stroucken: Well, I would say the puts and takes are fundamentally are typically picks up in demand when employment improves and we've seen some employment improvement in North America. We've also seen some improvement in the overall framework of economic conditions in Europe which might hopefully lead to some higher employment, so that's positive. On the other hand as we have seen time and time again over the last couple of years weather has a significant impact as well and it's really balancing those two aspects between what’s likely going to happen from an economy and what maybe some of the unforeseen circumstances that's really giving us the position that we've taken at this point in time.
Operator: Your next question is from the line of Anthony Pettinari with Citi.
Anthony Pettinari – Citigroup: I had a follow-up on cost inflation, I think previously you expected 2014 cost inflation of 125 to 150 million and given the spike that you saw in North America and some of the pressures in Asia, is there an updated range that you're thinking about for the year?
Steve Bramlage: Yeah, maybe I will start with that, Anthony. You are correct, the guidance around inflation is 125 to 150 for the calendar year and a short answer is no, we don't see a need to change that range, the distribution of the inflation among the quarters is certainly changing. obviously it’s higher in the first and a little bit in the second but the reality is there is less inflation today that we see in Europe than we had initially anticipated when we set that guidance out. So I still think it will fall within that range and it’s going to be more front-end loaded and more North America loaded than we had originally anticipated. But I don't see it being higher than this 3% number which the range indicates.
Anthony Pettinari – Citigroup: Okay that's helpful and then maybe just following up on Europe on the demand side and the strong volume growth you saw, if I recall I think last quarter you talked about maybe he timing of holidays or some inventory practices from some of your customers that might have hurt some activity in 4Q. And I was wondering if you feel that that pushed some demand into 1Q and just generally when you look at how volumes trended through the three months of the quarter, did you feel like demand was accelerating as you exited the quarter or if you can give any color there.
Al Stroucken: No, I don't think that we can say that demand throughout the quarter was accelerating, I think it was fairly stable throughout the quarter in comparison to the previous year. I do believe that the low order volume in the last quarter particularly in December may have had an impact on the slide blip in January but that's sustained. And I think some of the effects that we’re seeing that may be dampening or mitigating a little bit demand is really the export part of the European wine and spirits industry is getting under pressure because China is clearly cutting back significantly and as Steve indicated in his comments, the supply chain tends to be fairly long, so we don't know how long it’s going to take to work its way out of that process.
Operator: Your next question is from the line of Alex Ovshey with Goldman Sachs.
Alex Ovshey - Goldman Sachs: A couple of ones for you. In Brazil, do you have a sense for how much of volume improvement is underlying demand versus the impact of the supply chain getting ready for the World Cup? And then for planning purposes down there for ‘15, how are you thinking about that volume trajectory, I mean the expectation be that it would be flattish to down early next year, given the difficult comparison?
Al Stroucken: Well it’s very difficult of course to predict how it’s going to develop by quarter next year and so I wouldn’t even want to take a stab at this but what we are seeing is an – I believe I mentioned numbers before, overall beer production was up 11% and our sales to the beer industry were up more than that. So I think there is most probably some channel effect in there to try to ascertain how much that is going to be is very difficult. But I think if we are assuming a mid-single digits growth rate for the remainder of the year at least for the second half of the year in Brazil, that’s most probably a safe assumption.
Alex Ovshey - Goldman Sachs: And then we had a consolidation event in North America. Do you see any impact to you from that event in perhaps maybe customer concentration being too high as opposed that, some of that potentially coming your way or any other potential impact from the consolidation in North America on our business?
Al Stroucken: Well, I think given the outcome of the settlement discussions I don't really think that there is an additional concentration of market position as an effect of the various transactions. So I don't think it’s really going to have a fundamental impact on the overall supply demand profile that we've seen with that. So I think that perhaps may have been some uncertainty in the last 12 or 14 months but I believe a lot of that has really been resolved.
Operator: And your last question is from the line of Chip Dillon with Vertical Research.
Chip Dillon - Vertical Research: Sort of as a follow-up to that previous question. You are right, there isn't much of a change in the concentration of the industry, but you have had pretty much the rest of the competition kind of dealing with a lot of uncertainty on the ground with folks. And I was wondering did that have any impact on the market either good or bad?
Al Stroucken: No, I think it may have increased a lot of the interaction between companies a little bit that they have looked at alternatives and to be prepared and to have some contingency plans in order. But fundamentally people were not really willing to make dramatic changes to their supply positions until it was clear what was going to evolve from this consolidation. And I think as I said earlier now since it’s been resolved it most probably will become relatively quiet again.
Chip Dillon - Vertical Research: And then just last quick one is, you guys have really put together a couple of solid years, when you look back. However, you go back to 2010, when I think you guys were more aggressively moving into say, China, and obviously that has resulted in not reaching your expectations. Any lessons that you learned from that, that you are carrying forward?
Al Stroucken: Yes, I believe that the lesson is that the when you move into new markets you have to move into a new market with a fairly strong position. If you move into a new market with a very small share of the market it is very difficult to have any influence or to bring your concepts or your ideas to market and I think given the position that we have in the rest of the world we may perhaps have been a little bit too over confident that we could put our approach and the way we think business should be successful imposed in China and clearly with more than thousand competitors in the Chinese market that’s very difficult to achieve. I think that's the more fundamental lesson. The other part is also that we could through the acquisitions of course get to a lower cost profile in the manufacturing base. What we also did see was that in the marketplace transactional behavior from our competitors was not something that could be copied or replicated by us given our adherence to ethics and compliance laws and considerations that we have ourselves. I think those are two big lessons that we have to draw from what we did in 2010.
David Johnson: Thank you everyone. That concludes our first quarter earnings conference call. Please note that our second quarter 2014 conference call is currently scheduled for Wednesday, July 30 2014 at 8AM Eastern Time. We appreciate your interest in OI and remember that glass is infinitely recyclable and always the most sustainable packaging choice. We encourage you to choose glass for all your food and beverage needs. Thank you.
Operator: This does conclude today’s OI first quarter 2014 earnings conference call. You may now disconnect.